Operator: Good morning, everyone, and welcome to the MGM Resorts International Third Quarter 2016 Earnings Conference Call. Joining the call from the company today are Jim Murren, Chairman and Chief Executive Officer; Dan D'Arrigo, Executive Vice President and Chief Financial Officer; Bill Hornbuckle, President; Corey Sanders, Chief Operating Officer; Grant Bowie, CEO and Executive Director of MGM China Holdings Limited. Participants are in a listen-only mode. After the company's remarks, there will be a question-and-answer session. Please also note that today's event is being recorded. At this time, I'd like to turn the conference over to Mr. Dan D'Arrigo. Please go ahead with your conference.
Daniel J. D'Arrigo - MGM Resorts International: Thank you, Jamie. Good morning, and welcome to the MGM Resorts International third quarter earnings call. This call is being broadcast live on the Internet at www.mgmresorts.com, and we have furnished our press release on Form 8-K to the SEC this morning. On this call, we will make forward-looking statements under the Safe Harbor provisions under the federal securities laws. Actual results may differ materially from those contemplated in these forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation to GAAP financial measures in the press release, which is also available on our website. Please note that this presentation is being recorded. During this call, we reference net revenues and EBITDA on a same-store basis, which excludes contributions from Borgata, which the company began consolidating in August of 2016, and Circus Reno, which the company sold in 2015. Our supplemental earnings deck is posted on our website, which we hope you will continue to find helpful. Finally, please be reminded that MGM Growth Properties will be holding a separate earnings call after this call at 12:30 p.m. Eastern Time. And with that, I'll turn it over to Jim.
James Joseph Murren - MGM Resorts International: Well, thank you, Dan, and good afternoon, everyone. And can I say, boy, we've been waiting for this call. We're incredibly proud of the entire MGM Resorts team that contributed to these really epic results. And since they speak for themselves, so I'm going to keep my comments a bit more brief than as normal to make sure we have plenty of time for your questions. But let's just be clear on a few highlights. Revenues were up 10% year-over-year, and adjusted property EBITDA was up 25% to over $750 million. Our domestic resorts revenue increased 8% and the cash flows remarkably increased 31% on a same-store basis, and that was led here by continued strength in Las Vegas as well as the very productive hard work to grow our share really nationwide. We delivered incredible growth from not only the top line, but as you can, see from an EBITDA perspective. This marks our sixth consecutive quarter of double-digit EBITDA growth and we produced the best same-store net revenues and cash flows at our domestic resorts since 2007. How did we do this? Driving on our profit growth plan with pristine execution, that was evidenced by our cash flow margins, which have consistently grown since we launched the plan. As of the third quarter, our margins stood at 31% on a same-store basis at both of our Las Vegas Strip resorts and our domestic resorts compared to 24% at the end of 2014, when our management team and board began this planning process, from 24% to 31%. And that, as you know, is well ahead of the plan we laid out. In the third quarter, we achieved $78 million of incremental adjusted EBITDA and that includes $5 million of contributions of our 50% share of CityCenter. We're running run rate close to our $400 million target already today on PGP. But to be clear, this does not by any means imply that we are done. The profit growth plan was originally designed to inspire new way of looking at our business. We knew then it was not a simple quick fix, and it certainly was not just another cost-cutting effort. The plan required many months of careful planning across all 14 properties, each with thousands of employees as well as thoughtful coordination and messaging to guarantee its success and sustainability across our platforms. We put in a tremendous amount of effort to get there, a really unprecedented level in our industry. And I think that's important to bring out because it has resulted in a permanent cultural change in our organization of which we all are proud. We have changed this company literally at its very core. From the level of sophistication in the way we look at our business and our customers to the future of the industry, its evolution and what MGM's role is within this industry. We built the building blocks that have created the success we see today. We are leaders in innovation and operational excellence. We have the deepest commitment to corporate and social responsibility. We have the deepest and most sincere and concerted effort to invest in our people, the development of our corporate culture led by talented, passionate and experienced leaders, that's what has led us to where we are today. That is committing us to building this powerful destination brand that's really unlike any other in the entertainment and hospitality space. We have been disciplined and very targeted in our capital investments with extremely high returning projects, such as the expansion of the Mandalay Bay Convention Center and the remarkably grossing arena, T-Mobile Arena. And we have scoured the landscape and have found accretive transactions, which we have made as an opportunity to participate both at the MGM Resorts' perspective as well as the premier triple net in the gaming space today, MGM Growth Properties, the company we own a 76% economic interest in. And at MGM, again, we remained focused on generating free cash flow, strengthening our balance sheet, and we have a very near-term goal of becoming investment grade. But we didn't get there overnight. We've been working on that since the depths of the recession. It has been the result of the dedicated effort of over 70,000 men and women that work at MGM Resorts, many of whom are listening today. And to them, I say thank you for creating the company that we have today, a stronger company, far more capable of growing than its peers, far more capable of winning in the future. We're excited about that future. We're excited about the future of Las Vegas. We're excited about the future of MGM National Harbor, which will open up in just about a month in the Washington, D.C. area. We're excited about MGM Cotai, which is going to help expand and define the growth of the Macau market. We're excited about MGM Springfield, which literally almost singlehandedly will turn around the fortunes of a once proud but struggling city. And we believe we'll do well in that marketplace as we employ 3,000 men and women in that market. And we know we can win, as we have won before, if selected high-value markets open up because MGM is the company that represents the present and the future in the gaming industry and we're continuing to be dedicated to providing value to all of our shareholders. And so with that, operator, I'd like to get right into the Q&A. I'm sure we have a bunch of questions that we'd love to answer.
Operator: Ladies and gentlemen, at this time we'll begin the question-and-answer session. Our first question today comes from Harry Curtis from Nomura. Please go ahead with your question.
Harry C. Curtis - Nomura Securities International, Inc.: Hey. Good morning, everyone. I had two questions, one in Las Vegas and one for Macau. In Las Vegas, looking into next year, if you could discuss your visibility into the pricing power next year. This year has been a terrific success. And maybe direct your answers to demand after ConAgra so we can get a sense of the same store – what the same-store results might look like on a more normalized basis.
Daniel J. D'Arrigo - MGM Resorts International: Sure, Harry. This is Dan. I'll take that one and Corey you may chime in as well. But 2017 is shaping up quite nicely across the board. As we look at our convention group business, we're sitting on today roughly about 90% of the contracted room nights in that sector already on the books and usually by this time of the year we want to be at about 80% to 85%. So we're ahead of plan there overall. And obviously, ConAg is a big benefit in the first quarter, but the rest of the year looks equally as strong overall. So we're pleased with the way 2017 is shaping up. Probably a little too early to give specific 2017 guidance, but based on what we're seeing right now, I'd say generally speaking, we're seeing kind of plus or minus mid-single digit rate growth into 2017, which is pretty consistent with what we've seen over the past few years here in the Las Vegas market. So I would say it's pretty much steady as she goes at this point and 2017 is shaping up to look as good, if not better, than 2016.
Harry C. Curtis - Nomura Securities International, Inc.: And my follow up is for Grant. For the time being, the MGM Cotai will have a locational and infrastructure disadvantage, but how long do you think that's going to last? And how are you marketing to overcome any temporary disadvantage?
Grant R. Bowie - MGM China Holdings Limited: Thanks, Harry. Hi. I don't see anything like that as a disadvantage. Clearly there are some challenges. We obviously will be very excited to be opening in what we see as being the sweet spot of Cotai over time. When it's come on board, it's obviously going to keep developing and we're looking forward to coming on board. We understand that we need be very focused on connectivity and transportation and we're working through all of those things. And as a result of that, we acknowledge that all the new operators coming to the market have ramped up a little slower than expected. And what's critical for us is that when we launch our programs, we basically see our opening as only the start of our whole activity. And we will be presenting many different activities, introducing and reintroducing as we bring on board some of the other facets of the property. I think we've indicated before that The Mansion and the theater will be coming on in a staged approach, and therefore, they give us opportunities to have many additional opportunities to create first impressions. So we're very aware that we need to maintain the marketing and noise intensity in the marketplace to drive visitation. It's not a one-off exercise. It's a planned, consistent execution and we pride ourselves on those facets.
Harry C. Curtis - Nomura Securities International, Inc.: Can you give some specifics on which segment or segments you're targeting?
Grant R. Bowie - MGM China Holdings Limited: Firstly, we want to focus on the segments where we can drive traffic ourselves. So the mass market is something which we have great strength in and we want to look at that as well as opportunities that we may have for our other in-house VIP traffic. We've already indicated that we are not likely to open the property with junket, but we're still in discussions with junket operators because we understand that it's best that we build the momentum of the property and then we bring those participants into the business. So focus on the things that we're really good at, focused on the things we can control, drive foot traffic through the food and beverage operations focusing both on the Macau market, Hong Kong, and then expanding that reach into China, drive trial into the hotel because we have a lot more hotel rooms. So everywhere we're looking, we're wanting to tap into the opportunities of increasing momentum and making sure that we lock in a customer group before we move on to other areas. We have a very extensive program already laid out and we're now working through the details of making sure we can communicate that consistently and accurately. Remembering, Harry, that as we've indicated to you, we drive the MGM brand and we want to make sure that we maintain the intensity on Macau as well because it's very, very important to us. So whenever we go out of market, we'll have a new property in town but what we're looking to do is also drive incremental business into the Macau property as well.
Harry C. Curtis - Nomura Securities International, Inc.: That's very helpful. Thanks, guys.
Daniel J. D'Arrigo - MGM Resorts International: Thanks, Harry.
Operator: Our next question comes from Carlo Santarelli from Deutsche Bank. Please go ahead with your question.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Thanks. And Grant, while you're kind of in speaking mode, anything on the mass side at the property? Clearly, tremendous growth in your mass table footprint. Is there anything you can kind of comment to provide a little bit more color on that end?
Grant R. Bowie - MGM China Holdings Limited: I think it's actually looking like there's a number of sweet spots emerging. The high end premium mass has obviously been a little quiet for some time, but we're starting to see strength in that area come back, repeat visitation, increased frequency. But the area that we've been working on for quite some time is that mid-upper mass business. And it's starting to get positive traction and from us, we need that to occur because obviously we need to build out for Cotai. But it really is starting to look to be some strength across the whole gamut. And obviously, if you look at some of the other operators that are maybe more focused on the bottom end of the mass market, they're seeing strength in that market as well. So I just think it seems to be across the board, and we, I think we'll look to seeing that momentum maintain. And that will be very positive for all of us.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. Thanks. And then Jim, Dan. Jim, you kind of talked a little bit about where you stand coming out of the 3Q on the profit growth plan and obviously through the bogey for this year, your exit run rate, are you guys, as you're moving through the process, identifying incremental things? Does the view still pretty much remain the same, that kind of $400 million is the target number, you're just getting there sooner, or do you believe there is the potential to maybe find a little bit more?
James Joseph Murren - MGM Resorts International: Well, it's hard to express how proud we are internally here because you'd have to see how comprehensive this has become on literally every property. Hundreds of senior executives, thousands of people have bought into it. A project management office of, how many people, Chris, do you have in?
Christopher W. Nordling - MGM Resorts International: 15.
James Joseph Murren - MGM Resorts International: 15?
Christopher W. Nordling - MGM Resorts International: In project management.
James Joseph Murren - MGM Resorts International: In project management, full-time effort; over 500 initiatives. And we have found some that – only recently that we haven't thought of a year ago. And so, we internally believe that we're always going to find ideas; that we're moving into a mode of continuous improvement here. And so, yes, we're ahead of our schedule in terms of the $400 million, but that doesn't mean that there's going be some finite end date to this program. We're going to continue to work through it and continue to find ways. And I can assure you, we're operating this business in a more sophisticated, more thoughtful way than has ever been done before in our industry, which leads to other innovations and other ideas. So that's why I'm so incredibly proud of the effort is because I believe not only have we achieved more than we would have imagined, but we've achieved a cultural change in our company that rewards, inspires, innovative improvements, and I'd expect to see more of that in the future.
Corey I. Sanders - MGM Resorts International: And, Jim, I would add many of those ideas that we've found will be applicable to Borgata also. And we've already began to line up those ideas.
James Joseph Murren - MGM Resorts International: That's a good point, Corey. So the Borgata is just becoming part of this process. And there are two elements that we haven't discussed much about Borgata, which will accrue to our collective benefit, one is the programs we can put into place, but also the cross-marketing of Borgata with our East Coast presence. Imagine the opportunity that we will have to cross-market between Beau Rivage, Borgata, MGM National Harbor and then Springfield, along with Detroit and Tunica. There's a – we already have a very robust charter program, an M life program on the East Coast, but the addition of Borgata in our database now, which as you recall, had very little overlap between the databases, and the soon-to-be opened MGM National Harbor will have a big impact we think on the revenues on the East Coast.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. Thanks, everybody.
Daniel J. D'Arrigo - MGM Resorts International: Thanks, Carlo.
Operator: Our next question comes from Joseph Greff from JPMorgan. Please go ahead with your question.
Joseph R. Greff - JPMorgan Securities LLC: Good morning, everybody. Jim, on the topic of PGP, the benefits in the 3Q, maybe how have they evolved or are different than the benefits you saw earlier this year and last year in terms of where you're seeing those benefits being sourced?
James Joseph Murren - MGM Resorts International: Yeah, I'm going to give that one to Chris Nordling, who's been running the show.
Christopher W. Nordling - MGM Resorts International: Hey, Joseph. In the beginning, we were more revenue-centric in the beginning, and then as we drove through the operations and became more efficient at the operating expense level, we began to get our stride in that area. And now we're about balanced, about where we thought we were going be; one-third revenue, two-thirds expense. And a lot of the ideas took long ramp up. So, as we got into the second half of the year, we instituted a lot of programs that are going be full benefit in 2017, but we're seeing the run rate starting to hit here in the third and fourth quarter. As Jim mentioned, the process was very comprehensive. This is an idea we had 800 PMO meetings over the course of the last 16 months and 100 steering committee meetings with our senior executives as we drove these initiatives through the organization. So it took a long time to get us up and running, but we're hitting full stride now.
James Joseph Murren - MGM Resorts International: Give them one example, Chris, maybe like zone maintenance or anything that would be a good example why it takes a while to ramp this up.
Christopher W. Nordling - MGM Resorts International: Yeah, zone maintenance would be a perfect idea. We had to go property by property in the operating engineer area, talk to our employee, our union constituents, our operators. We had to have series of meetings on what it is we're going to try to accomplish, line up our sourcing efforts to make sure supplies and equipment was there. And then we'd have to do that 10 properties wide in Las Vegas and then in our regional properties. So just that idea alone took about eight or nine months to get rolled out and get it set up.
Joseph R. Greff - JPMorgan Securities LLC: Great. Thank you. And then, Grant, obviously Macau came in much stronger than we and consensus were modeling. Either Grant or Dan or Cathy, can you run through maybe what the revenue and EBITDA impact was from the high VIP hold? Our method suggests that you may be held high on direct, perhaps. And maybe if you can quantify if at all there was some kind of benefit from collections, just to kind of get to a clean net revenues and a clean EBITDA number, adjusting for those two things? Thank you.
Grant R. Bowie - MGM China Holdings Limited: So, yes, we had a good quarter. Mind you, we've had a couple of not-so-good quarters in the past. And if you look at the quarter, we probably exceeded normalized hold by about $15 million, which would have on an adjusted-margin basis would have brought it down to about just around 29%. In terms of the collection, it's really nothing huge. But we have obviously been able to continue the payment cycles coming through. So there might have been another $1 million roughly in terms of a $1 million, $2 million in terms of collections. So overall, on a regular basis, we're still looking at margins close to that 28.5%, which is where we think we're stabilized. I've always said that our numbers were somewhere in that mid-20s. Does that clarify for you?
Joseph R. Greff - JPMorgan Securities LLC: That's helpful. Thanks, guys. Good work.
Grant R. Bowie - MGM China Holdings Limited: Okay. Thanks.
Operator: Our next question comes from Felicia Hendrix from Barclays. Please go ahead with your question.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Thanks for taking my questions. So Jim and team, in the quarter you outpaced RevPAR growth forecast by about 400 basis points. Just wondering what were the surprises that you didn't anticipate and what could surprise you in the fourth quarter?
James Joseph Murren - MGM Resorts International: You want to start with that, Corey?
Corey I. Sanders - MGM Resorts International: Sure. Yeah, I think part of it is the market was pretty strong, especially with the convention base that we had. So we were able to leverage our yielding off of that. In addition, I think we're spending a lot more effort on our marketing prowess and we've actually just changed out our marketing company and our buying company and we're really focused on our advertising costs and how we align it with the yield. So we've seen some power on that. And I think we'll be able to benefit in the fourth quarter from that because, as you know, the fourth quarter's going to be a tough comparison. But we still expect to see some growth from that.
James Joseph Murren - MGM Resorts International: So we've seen – yeah, so the operational changes Corey's referring to have certainly helped. T-Mobile Arena has absolutely helped. T-Mobile I think was the highest grossing arena in the world.
Corey I. Sanders - MGM Resorts International: In September.
James Joseph Murren - MGM Resorts International: In September. Can you guys imagine – can you believe that? Highest grossing arena in the world in September. Off to a great fourth quarter as well. That drives a lot of traffic in that neighborhood. We're opening up the Park Theater on – what, Bill? September 17?
William Joseph Hornbuckle - MGM Resorts International: December 17.
James Joseph Murren - MGM Resorts International: December 17 with Stevie Nicks. So bringing in events drives that. The leisure business has been stronger than we predicted. And we're going to end up this year with a higher convention mix than I think we had predicted. Do you have that number, Dan? I think it's going be...
Unknown Speaker: Over 19%.
Daniel J. D'Arrigo - MGM Resorts International: Over 19%.
James Joseph Murren - MGM Resorts International: We'll be over 19% on the convention side, which will be a record. So better convention business. The leisure business, because of the operational improvements Corey had mentioned plus the events that are driving some really good retail stays, and overall improvement in our properties I think are the reasons.
Felicia Hendrix - Barclays Capital, Inc.: That's helpful. And then just while we're on the Park Theater, how should we think about Monte Carlo once that opens? Obviously, there's some construction disruption now, but once that stops and then once you have the Park Theater open, how much of an EBITDA lift do you think that property gets?
James Joseph Murren - MGM Resorts International: I think that Monte Carlo is going to be under significant amount of construction over the next three years. The Park Theater in and of itself will help a lot given the lineup of events we have there. I'm looking at Bruno Mars and Cher and Stevie Nicks. It's going be extremely well occupied. That's the good news. The challenge for Monte Carlo is we're literally renovating the property from the inside out and so it won't be one of our best-performing properties over the next couple of years. I think that New York-New York will benefit from this being next door and probably Aria will as well. But I think if I were modeling out Strip properties, I would say that Monte Carlo's the one and the only one that's really going be challenged from a growth perspective given the significant amount of capital we're putting into the property and construction that will be around it.
Felicia Hendrix - Barclays Capital, Inc.: And then with your relationship with MGP, how can we think about the Park Theater? Is it realistic that you could sell that real estate to MGP?
James Joseph Murren - MGM Resorts International: Well, they're going to have a call in a little over an hour and I would ask them that. One of the concepts that we developed was if we can develop, as an MGM Resorts, capital that generates significant cash flow and we can find a clearing price on an arms-length basis to the REIT, both parties would be interested in pursuing that. We have very, very high hopes and highly confident about the success of the Park Theater given the lineup of performers. And the success the Coliseum has had here for many years and Planet Hollywood. This is not an unknown phenomenon for us or for the market. So I think it would be quite easy to underwrite a level of cash flow and we'll have to see whether or not that that can happen.
Felicia Hendrix - Barclays Capital, Inc.: Okay, great. Thanks.
Operator: Our next question comes from Shaun Kelley from Bank of America. Please go ahead with your question.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Hey. Good morning, everyone. Maybe to start with Las Vegas, so as we start to cycle the PGP investment and start to enter a little bit more of a normal environment in Vegas, my question is, I think operating expenses, as we look at them, and everybody's going to carve this up a little differently, but as we look at them, they're probably down maybe 3% year-on-year. As we start to move into 2017, could you just give us a ballpark or a sense, do you think operating expenses in Vegas are flat, up or down, as we think about again starting to cycle these tough comps? There's natural inflation in the business, but also you're still coming up with new initiatives.
James Joseph Murren - MGM Resorts International: I'll take a stab at it and I'll be corrected by to the left and then my right. I think that our revenues are going grow in 2017 by virtue of the fact that room revenues we believe will and we believe that the non-gaming amenities that we're adding, whether it's Park Theater or other amenities, will help continue to drive revenue. I think that margins will continue to expand, which means that our expense growth will be more muted than our revenue growth. And I think that comes toward two points. One is some of the higher margin business that we are creating, some this entertainment business, plus some of the residual benefits of what Chris Nordling was talking about earlier. I think the city will do well next year and we typically do better than the city, that factors into my thinking somewhat. But also recall that there's really no new capacity coming on to this market. We talked about that again in our investor deck. But by having the limited amount of supply we have with room rates that are still below pre-recession peaks and convention business that's growing, and growing for us, that bodes well, I think, to margin growth going into 2017. And I don't know if you guys want to add anything to that.
Daniel J. D'Arrigo - MGM Resorts International: I would agree, Jim. Look, we have the cost of living increases, but we're going to offset a lot of that. And our goal is to keep it as flat as possible with labor initiatives that we have that going in place. Really the labor PGP component of our business is just really getting going. So I think you'll see the results of that in next year's numbers.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Great. Thanks for that. And then, my follow-up is on Macau. Grant, I think as we look at the performances for the quarter, most people talk about stabilization. You actually mentioned the word strength for maybe the first time. So my question there is, could you just talk a little bit more about what you're seeing recently, has what we saw in the late summer continued here into the fourth quarter and any meaningful impact from the Parisian and Wynn openings that's different than what we saw in the third quarter results?
Grant R. Bowie - MGM China Holdings Limited: I think one of the critical points is, is that we've gone through quite a long flat spot or flat cycle. And what I'd say by strength is like everything else in our market, it's about confidence, operational confidence and also consumer confidence. And that's one of the things I would say that we started to see some of coming through this season. Parisian obviously had a very good opening, as we expected them to do, with the sort of mass operation that they were running. And it has obviously given everybody a good indication of the capacity that the market has that it can grow when you put it together. In terms of impact, say, specifically on the peninsula, the impact from these openings has almost been nonexistent. Historically, there was for the first openings in Cotai, a short-term effect, probably six to eight weeks. This occasion, it hasn't and I guess it's worthy, again, remind ourselves that the peninsula is incredibly resilient. And if you look at the market share that it has relative to the properties that are on the peninsula, we're very excited about being able to offer two very high-class properties in the peninsula and in Cotai. And I think that's what we're going to start seeing coming forward. It is not an issue of saying that everything is in Cotai. I think what we see is that the opportunities are really in all of Macau. And we're really excited about having that sweeps position of being able to offer product in the peninsula, high quality. We continue to drive that business. And as we start to see some growth coming back into the market, that's going to lift us all. Quite clearly what we all need to be focused on is the intensity of our execution. And I will – I want to acknowledge the team here that we've continued to do that really in a very solid way. But we've done it in a strategic way because everything, everything we're doing is focused around sustaining and maintaining the capacity of the Macau property, positioning ourselves for Cotai and taking on the – and taking up the opportunity that having that extra capacity has. It is just so exciting for us to be able to finally have a decent room count where we can really do some serious things about some non-gaming developments and bringing in more entertainment into the city. So, from our perspective, market indicators starting to move as much, pretty well all the capacity other than ourselves. And (35:31) which is probably 18 months further down the track, I think that we're in a really great position and we're very excited about that.
James Joseph Murren - MGM Resorts International: Grant, this is Jim. I'd like to add something if I could, because I just want to brag on Grant a little bit here. We have the best CEO in Macau in Grant Bowie. And we have the most efficient, we have the most sophisticated marketing machine in the Macau market. And you can see that in the results month after month after month where MGM is the market leader in mass on the peninsula and is a leader in win per units on the peninsula. And the peninsula is always going to be an important and relevant market. There's been some commentary in the past where the business is going to shift from the peninsula to Cotai. That's just not going to happen. That's not the case. The peninsula will always be a very large gaming market. In and of itself, it's larger than all of Las Vegas. And MGM and Wynn are the dominant players on the peninsula. And we like being next to one another. And they both do well and MGM did particularly well this quarter. And over in Cotai, Dan and Bill Hornbuckle and I, we just got back a couple days ago. I'd like to make a comment about the neighborhood; I think Harry talked about it. First off, Wynn Palace is beautiful. We spent two hours in a tour of Wynn Palace. The execution of the detailing, of the quality, the materials and design is spectacular. And we believe it ultimately will be very successful. As that market grows, it will do well. Obviously, we visited Parisian, too. And it has tapped into the vein of what is currently very popular in Macau and Cotai in particular, in the mass market. We think that's great for Macau. We think it's great for growing the market, and we believe that the Macau market will be up in 2017 versus 2016. But let's be clear about what we're developing in Cotai. This isn't a project we started yesterday. We've been working on MGM Cotai for three years. We've known that we needed to diversify away from gaming. We knew that we needed to create an entertainment spectacle that is free to the public and that is something they have not ever seen before, and we are. We knew we wanted to bring the DNA of MGM's entertainment to build a theater that does not exist in the world, let alone in Macau; a multi-functional theater that can transition from a major ballroom to an exhibit hall to a theater for sports and entertainment, and into a nightclub. We also have been working hard on food and beverage. Yes, of course, we're going have high-end restaurants, but we're also tapped into local cuisines with hot pots and regional Chinese food, and we certainly will have food in retail that will be diverse and approachable. And I think that when we're done and the light rail is completed, it will dramatically benefit Wynn Palace. I'm sorry that we're not open now. It certainly hurts. But we've been there before because when the MGM first opened on the peninsula, we were surrounded by construction, and we knew that hurt. And so we can empathize with the neighborhood today. But it's not long from now where MGM Cotai will be opened next to Wynn, next to City of Dreams, and I would suggest that that's going to be the new epicenter of Cotai, just as the MGM and Wynn is the epicenter of the peninsula. So, I just want to be clear based on what we've seen in our observations that we're ready, we're prepared for the market as it's growing, and we're going to provide the type of product that we know the customer wants.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Thank you very much. Congratulations on a great quarter.
James Joseph Murren - MGM Resorts International: Thank you.
Daniel J. D'Arrigo - MGM Resorts International: Thanks, Shaun.
Operator: Our next question comes from John DeCree from Union Gaming. Please go ahead with your question.
John DeCree - Union Gaming Research LLC: Good morning, everyone. I was wondering if I could shift gears for a second, and we're about a month away from National Harbor opening. I wanted to get your thoughts, or at least initial thoughts, on how you're thinking about the early days there. I know reservations have only been being accepted for a while now, but any color you can have on how we should think about the ramp would be helpful.
James Joseph Murren - MGM Resorts International: Man, we're so pumped about it. I don't know if we've ever been more excited. It's crushingly beautiful. It will have and has gotten the kind of buzz that we've not seen in a new resort in quite some time. It's the only happy news in Washington, D.C. It's the only thing that everyone can agree on that National Harbor is going to be a big success. It literally is the talk of that market. It opens December 8. We have a lineup of entertainment that starts immediately thereafter with Lionel Richie, Duran Duran and a whole bunch of big acts. The restaurants will be ready. The marketing is already in market now. We're getting good feedback from the McCann ad agency that's been doing our marketing. We're having a big party on the 8th. It's a good problem to have in terms of turning people away that we are concerned we're not going have room for everyone that liked to come. The rooms in the market outside of the MGM are all getting booked up. Remember there's a 2,000-room hotel that Gaylord has. There's a Westin. There's another 1,000 rooms in general. Occupancy rates are rising all around National Harbor. Gaylord itself is building an expansion to its convention center because it anticipates far more demand into the market as a result of MGM National Harbor. So ramp up, yes. There's always a ramp-up in terms of making sure that we have plenty of labor. A lot of cost go into any new opening. And those expenses will start burning off after a quarter or two, but we have extremely high expectations for the amount of customer demand that we're going to get right out of the box when we open on December 8.
John DeCree - Union Gaming Research LLC: Thanks, Jim. That's helpful. And if I could present the same question about Japan. Obviously, there's been heating up interest in Japan and a little bit of commentary that we could see some legislation this year. Just wanted to get your kind of high-level thoughts, to the extent you can give us a little color as to how you're thinking about Japan today?
James Joseph Murren - MGM Resorts International: Well, also fresh off a plane from there. Bill Hornbuckle and I were there last week. Yes, there's been some very positive commentary around Japan and around the possibility that the Diet would introduce and perhaps pass what they call the Promotion Act. We'll know within the next few weeks if that occurs. And the signs today are favorable that the Promotion Act would be passed. Well, now what does that mean? It means that the bureaucratic machine gets geared into high gear and that the bureaucratic machine works on what's called the Implementation Act and they have a year to do that. In the meantime, Japanese companies, Western and other international companies, will work very hard to try to find the best path forward to present the most compelling RFP for a particular market. The markets you hear about most often are Osaka, Greater Tokyo, because there are multiple locations there, and Yokohama. Those would be the three large metro markets. There's likely also going be opportunities if this were to pass in some of the smaller regional markets to create a more comprehensive opportunity for Japan. If an operator tells you they have an inside track on a particular market, let's say Osaka, for example, they're wrong. No one has an inside track and no one has been more involved in Japan than we have, although we do see Las Vegas Sands there often, Wynn and many others. We're highly confident that if this were to happen, it will be done in an extraordinarily transparent, very deliberate way, a uniquely Japanese way and that you'll have plenty opportunities to game theory where integrated resorts could be and who would be able to participate in them. I have high confidence that MGM is going be a front-runner in one of these markets. We're certainly putting in the time and the effort to do that. And the reason why we all are, whether you're from Malaysia, or Australia, or the United States or in Japan, the reason why everyone's spending the time on this is that the potential is absolutely enormous. It would dwarf the Singapore market in size and could be extraordinarily lucrative for all the investors, real estate and operators alike. So stay tuned. If the Promotion Act is passed, that's a highly, highly positive sign. It means that the machinery of Japan is in motion and that the Implementation Act has a very high chance of being approved, which would mean you'd see RFPs in local jurisdictions starting to develop their own framework and integrated resorts could emerge as early as 2022, 2023, 2024.
John DeCree - Union Gaming Research LLC: Thanks for all the color, Jim, and congratulations again on a great quarter.
James Joseph Murren - MGM Resorts International: Thank you.
Operator: Our next question comes from Robin Farley from UBS. Please go ahead with your question.
Robin M. Farley - UBS Securities LLC: Great. Thanks. A Macau question and a Vegas question. For Macau, you've talked about opening with just kind of mass tables. And what are your thoughts on another operator in the market had opened with just a strategy for the mass market and is now adding VIP and adding junket tables. Does that affect your thinking about opening without them?
Grant R. Bowie - MGM China Holdings Limited: I think what we need to do is we recognize it's about a ramping up process. I think we're going to be pragmatic and understand how the market builds. The critical point for us is that we obviously are dedicating a lot of time and effort to drive traffic. We're very committed to diversifying the product mix for us in Cotai. And so we understand that we need to deploy all of our – we need to take advantage of all the opportunities but what we believe is that we need to drive the mass and the premium mass business that we have and then we can take up other opportunities as they occur. I guess the greatest challenge for us, for all of us in the market at the moment is we're still not seeing really any growth in the junket business. So simply to open junket rooms and dilute the market further and further doesn't seem to be a very strong strategy. But clearly what we're hoping and we are working with our existing operators that we're very comfortable with in Macau and we want to continue to work with them in our peninsula property, as Jim was saying, is to make sure that they're always profitable. And that doesn't necessarily mean just opening rooms for the sake of opening rooms. You've got to open them because there's some performance. We want to work collaboratively, understanding the realities of the market as we see it today. The growth is in the mass. We want to drive the mass and we want to get a very strong footprint in that regard. But we also want to make sure that we continue to work collaboratively with our junket partners, particularly as it applies to the operators that we have in the Macau property.
William Joseph Hornbuckle - MGM Resorts International: And, Robin, this is Bill Hornbuckle. Maybe to add a little more color. Remembering we have a massive international market that we supply with about 200 marketing executives throughout the world. That machine will still be in play. And when we open The Mansion, which is the product that will be unique to Macau like it has been to Las Vegas, that machine will be active. So while the junkets become the criteria on which we will judge for the future, everything else we do, whether it be Macau or back here in Las Vegas, all of that activity will occur from day one.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thank you. And then for the Vegas question, just to understand a little bit better what drove such strong RevPAR growth in the third quarter. Can you give us color on what the rate increase was in convention business versus the increase from your other cash paying customers, just to try and get a sense of that?
Daniel J. D'Arrigo - MGM Resorts International: Sure, Robin. This is Dan. Obviously, as you look at our overall results, all of our RevPAR increases at this point in time are really coming from rate side of the equation. We had one of the strongest quarters on the leisure side. I think Corey mentioned earlier, obviously as we continue to maximize our convention footprint and our room base there, that's given us the ability to drive leisure and retail pricing, and so third quarter is one of the highest for the year increases in leisure that we've seen in terms of our overall pricing. So in the third quarter, both convention and leisure were the big drivers for us.
Corey I. Sanders - MGM Resorts International: And what I would add, Robin, is the fact that we were able to significantly increase the mix to where the summer was almost like a normal quarter from convention mix. That's allowed us to really yield. We're really replacing the lower end leisure business with that convention business.
Robin M. Farley - UBS Securities LLC: Okay. Great. No, that's helpful. Do you think next year's convention mix will be higher than the level you ended up with this year?
Daniel J. D'Arrigo - MGM Resorts International: In total? Our goal is, yeah, I think we'll be at least at that level and our goal will be obviously with the in the year, for the year, to kind of push that slightly higher. But the real challenge, Robin, is the peak periods we're pretty much tapped out and maximizing. So now it's just around putting the right business in the right buildings and maximizing the footprint and really driving business into the shoulder periods. So that's why the third quarter is such a great outcome for us. Traditionally, it's never been a strong convention quarter, but you've seen the strategy there over the last couple of years really play itself out to help us drive that business in the third quarter.
James Joseph Murren - MGM Resorts International: And so the mix by the end of the year, Dan, what did we say, 19%?
Daniel J. D'Arrigo - MGM Resorts International: This year it will be right around 19%, a little over 19%.
James Joseph Murren - MGM Resorts International: So 19%. So, Robin, to put that in context, obviously that's a record. We flew back with Mike Dominguez, who is probably listening in, who just won one of the greatest awards you can have in the convention. It's a lifetime achievement award, by the way, in the convention business. He runs our convention business. He told Bill and I that he just signed on a convention customer for five years with another potential five-year extension, a massive Fortune 50 company that will begin next year. And we're able to juggle a lot of stuff around to be able to accomplish that. And I'm sure Mike's going to get a press release on that one out in the next week or two. It's certainly worthy of that. But the ability to juggle some people around within our facilities, the fact that we are expanding our convention facilities themselves, obviously as you know, with Aria being, coming online with its new convention space and a few other projects that we're looking at to further increase our convention advantage, that's going to help us continue to not only drive rate, but also have greater longer-term visibility, which helps us yield our leisure business better.
Robin M. Farley - UBS Securities LLC: Okay, great. Thank you very much.
Unknown Speaker: We'll take the last question, please? Thank you.
Operator: Our next question comes from Thomas Allen from Morgan Stanley. Please go ahead with your question.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hey. Good morning. Just one question for me. So for your domestic U.S. casino revenues, it was up 7%. Last quarter, Jim, you talked about seeing some return in the Far East play into the Vegas market. Can you just parse out the performance between mass and VIP in Vegas or in your domestic properties in the third quarter? Thanks.
James Joseph Murren - MGM Resorts International: Sure, I'm looking. So looking at the gaming in general, high-end play was up, right, in the quarter in terms of win and that came from the Far East and Korea, primarily. Right, Corey?
Corey I. Sanders - MGM Resorts International: Mainly Far East, yeah.
James Joseph Murren - MGM Resorts International: Mainly Far East.
Corey I. Sanders - MGM Resorts International: Korea was strong, too.
James Joseph Murren - MGM Resorts International: And in terms of non-baccarat play, our market share was about flat versus a year ago. But our shares are pretty high. And our slot play was up a little bit as well. So I think it's primarily some of our unrated play, table game play was up in the quarter. That helped. We saw some real nice increases in blackjack and a few other of our non-international play. Slots were up a little bit and the international based on Far East was also up and that helped us in the quarter. The hold, I think we mentioned in the investor deck in terms of what the hold impact was for the quarter, which was what, was it $30 million or something?
Unknown Speaker: $30 million.
James Joseph Murren - MGM Resorts International: $30 million in the quarter.
Thomas G. Allen - Morgan Stanley & Co. LLC: So do you feel good about the overall trajectory of gaming play, both on the VIP and then for mass, going forward?
James Joseph Murren - MGM Resorts International: Yeah, we do, because it's event driven and we've got?
Corey I. Sanders - MGM Resorts International: 5x the events.
James Joseph Murren - MGM Resorts International: Yeah, so for this year, a bunch going into the fourth quarter, but next year we're going to have five times – I had to check this because I didn't think it could be right – but we're going to have five times the number of events in 2017 than we had this year in 2016. And you say, how can you do that? It's – well because we have the Park Theater open for the entire year. National Harbor is going to have a concert or an event almost every weekend. All the arenas here in Las Vegas are going to have more activity than they had in 2016. So this is a very much an event-driven business and we dominate on the event side. So I think that our national play and in some cases international play will benefit from all the events that we're having in these – the various facilities we have, which are very powerful.
Corey I. Sanders - MGM Resorts International: And I'm hopeful on the domestic side, especially with the East Coast presence, because we really haven't had that up until this year. Even though we own 50% of Borgata, we're not able to access that database. So between that database and National Harbor database, we're hoping to get some cross-marketing play into Vegas.
Thomas G. Allen - Morgan Stanley & Co. LLC: Great. Thank you.
Daniel J. D'Arrigo - MGM Resorts International: Thanks, Thomas. And with that being the last question, I thank you all for joining us. And if there's any follow-up questions, we'll be around all day. And I'd like to remind folks that the MGP call, which is their first earnings call, will be at 12:30 Eastern Time here in a few minutes. So thank you for joining, and we look forward to seeing you soon.
James Joseph Murren - MGM Resorts International: Thank you.
Operator: Ladies and gentlemen, the conference has now concluded. We do thank you for attending today's presentation. You may now disconnect your lines.